Operator: Good afternoon, ladies and gentlemen, and welcome to the ThredUp First Quarter 2025 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Monday, May 5, 2025. I would now like to turn the conference over to Lauren Frasch. Please go ahead.
Lauren Frasch: Good afternoon, everyone, and thank you for joining us on today's conference call to discuss ThredUp's first quarter 2025 financial results. With me are James Reinhart, ThredUp's CEO and Co-Founder; and Sean Sobers, CFO. We posted our press release and supplemental financial information on our Investor Relations website at ir.thredup.com. This call is being webcast on our IR website, and a replay of this call will be available on the site shortly. Before we begin, I'd like to remind you that we will make forward-looking statements during the course of this call. Such statements are based on current expectations and assumptions that are subject to a number of risks and uncertainties. Actual results could differ materially. Please refer to our earnings release, the supplemental financial information and our Forms 10-K and 10-Q for more information on these expectations, assumptions and related risk factors. We undertake no obligation to update any forward-looking statements. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release and the supplemental financial information, which are distributed and available to the public through our Investor Relations website located at ir.thredup.com. Now I'd like to turn the call over to James. James?
James Reinhart: Good afternoon, everyone. I'm James Reinhart, CEO and Co-Founder of ThredUp. Thank you for joining our first quarter 2025 earnings call. We are pleased to share ThredUp's financial results for Q1 and to update our expectations for Q2 and fiscal year 2025. I will provide a high-level summary of our improving financial profile, but spend the majority of my time commenting on the macro environment and our approach to navigating this unique time for ThredUp. I will discuss key ongoing innovation in our AI-driven product experience and update you on our evolving RaaS strategy. I will then hand it over to Sean Sobers, our Chief Financial Officer, to talk through our first quarter 2025 financials in more detail and provide our outlook for the second quarter and full year 2025. As always, we'll close out today's call with a question-and-answer session. First to the results. We've continued to make meaningful progress reaccelerating growth in our U.S. marketplace after our exit from Europe. Top line growth accelerated to double digits at 10.5% at the same time that we achieved adjusted EBITDA of 5.3% and generated cash of $2.6 million. Active buyer growth turned positive on a trailing 12-month basis and was up 5.7% year-over-year. But most importantly, new buyers acquired in the quarter were up 95% from Q1 2025 over Q1 2024. This positive acquisition trend has continued early in Q2 with April being the strongest new customer acquisition month in our history. Our approach in 2025 is simple, maintain our gross margin and bottom line efficiency and reinvest incremental dollars we generate back into growing new buyers and sellers in our marketplace. We believe this creates the greatest long-term shareholder value. Turning to the macro. Our financial results in Q1 exceeded our expectations, and we believe this had very little to do with the macro environment. Given the announcements of successive rounds of tariffs and the closure of the de minimis loophole only were made public on April 2 and were to go into effect on May 2 or later, it is hard to observe any directly correlated impact. If our customer base remains resilient, while tariffs drive increases in new apparel prices, these changes could add incremental benefit to our current business trajectory for the following three reasons. First, by far, the most impactful to ThredUp is the closure of the de minimis loophole. This is a policy change we have been advocating for over the course of the past few years. While we expect tariff-induced disruptions to global trade to normalize over time, we do not anticipate a broad rollback of the de minimis loophole closure. Duty-free ultra-fast fashion that has flooded the U.S. market over the past few years undoubtedly put some pressure on our price competitiveness. We believe the closure of the de minimis exemption is likely to cause higher prices for these goods and to reduce production volumes, both of which could be a positive for ThredUp. Second, the increase in the price of apparel that could result from broad-based tariffs in key overseas manufacturing hubs could be a tailwind. If the price of new clothing goes up because of these tariffs, we believe this enhances the comparative value proposition for consumers who shop for used clothing on ThredUp. Third, large ad buyers on Meta and Google, like Shein and Temu have announced a reduction in their advertising spend, and this should reduce the escalation we have seen in advertising costs. In some cases, we might see customer acquisition advertising costs come down. This is what we've seen in April, though we anticipate markets to efficiently reprice over time. Finally, on the macro piece, I would reiterate that our business was accelerating before the trade disruptions were introduced in early April. And while we can't predict the future, we want to underscore our fundamentally improving growth and profit profile, tariffs and de minimis closure aside. Now turning to the product experience. Across the product experience, with our inventory of 4 million-plus items that change every day, we have continued to augment the customer experience with an AI-first mentality. Improving our core search and discovery infrastructure is key to building out the next set of customer-facing product features that make thrifting more joyful. Let me give you a few examples of enhancements we've launched in just the past 60 days. First, customers can now effortlessly pivot from items they love to similar styles, shop from any inspiration source and put together outfits on any conceivable theme. Our expanded discovery tools mean customers rarely "miss their chance to purchase a coveted style. When items are sold or held in someone else's cart, a new powerful visual search is just one touch away for items that are just like that item or even better. Sessions where a customer uses our updated shop similar feature have a 64% higher conversion rate as it helps customers discover even more of what they already love. Next, we're developing fully personalized pathways for product discovery. ThredUp has benefited from having a personalized item sort for many years, but our recently upgraded personalized sort is created by incorporating data from every user interaction into unique information-rich customer profiles that we then match against our deep catalog to find the most relevant styles. Each day, we're serving up many hundreds of thousands of personalized product listing pages powered by our in-house recommendation engine. In addition, updated tooling that launched last month is making discovering brands far, far better. It leverages our massive database of customer interactions to define relationships between the more than 60,000 brands that exist on ThredUp. This technology gives customers easy ways to shop groups of brands that have the same style as the ones they already love. Across all the AI-powered discovery initiatives that we've developed over the last year and half, including visual search, Style chat, image search, shop similar and more, we see encouraging signs that we are reshaping browse behaviors. Instead of doubling down on well-established and utilitarian and e-commerce shopping patterns, we're creating new product discovery paths and augmenting existing ones to help make thrifting our vast catalog feel like shopping at your own personal boutique. And finally, beyond optimizing the core product experience, we're launching new ways for customers to shop their favorite styles and trends. In early April, we launched an AI-powered shopping experience for customers to link their social media inspiration from Instagram and elsewhere and receive curated aesthetics, styles and brands to shop on ThredUp. The shop social feature is currently in beta in the ThredUp iOS app, and we're seeing strong early signals, including nearly four times higher conversion than non-AI searches. Now turning to the seller side of our marketplace. We are making substantial investments across the seller experience with our ambition to make ThredUp the default place to sell secondhand clothing online, expanding our TAM and at the same time, our sustainability impact. Our strategy involves expanding the number of ways customers can sell and the frequency with which they want to sell on ThredUp. For premium sellers, we are continuing to refine their dashboards and seller tools to make it easy for those with premium items to feel confident selling on ThredUp. Premium continues to grow as a mix of items processed and contribution margins from premium items sold are 60% higher than regular items sold. Our previous selling experience was designed for episodic cleanout kit selling alongside regular buying patterns. We are now innovating to let buying and selling follow a more rhythmic in-out pattern that we think fits with how the modern consumer thinks about circularity. By a few items, sell a few items, repeat. Last quarter, we launched the ability for customers to sell items alongside any returns they were making on ThredUp, leveraging not just the shipping, but importantly, the psychology of getting rid of things to make room for new things. Already 8% of returns now include items for resale. And on average, customers are including 9 items in those returns. And finally, let me turn to Resale-as-a-Service or RaaS. I wanted to share a more detailed update on our RaaS strategy. Over the past year, we've seen the market evolve in ways we think are counterproductive to building scalable circularity business models. A lot of what's being counted as resale is overstock and customer returns masquerading [ph] a secondhand product. This is largely because brands have been unable to scale their take-back and circularity programs and are left with no choice but to fill their shops with other branded product. In reality, they are paying software, management and consulting fees for programs that are doing very little to build native circularity into their strategies. In short, we think branded resale is being held back by the lack of sophisticated technology and operations. So we've decided to begin open sourcing our front-end technology and back-end logistics chain to encourage brands to make a bigger impact. We believe value for this ecosystem is created in the operations and technology layer to ingest secondhand items at scale and make them available for resale as efficiently as possible. This has never been more relevant than it is today as brands navigate global supply chain disruptions. We're excited to pioneer the next generation of branded resale, pairing free branded resale shops with cleanout programs that significantly reduce barriers to entry for brands and retailers. We expect that these shops will not just help brands expand inventory listings, they will also be more reflective of the brand's aesthetics with catalog data and imagery, enhanced customization, optional cleaning and repair and our built-in ever-improving AI search and discovery technology. Alongside these free resale shops, we are also lowering our usage-based fees on our cleanout programs to support brand loyalty and allow brands to grow their secondhand inventory, ensuring a consistent supply of quality items for sale. We also plan to provide broader marketing support, including new modules on thredup.com to promote branded customer acquisition and retention. We believe branded resale scales better when it's designed with a simplified performance-based model that aligns revenue sharing and usage-based fees with brand success. Over the long term, as branded resale becomes more prevalent in the industry, we believe the ecosystem will benefit from a powerful affordable "universal recommerce layer, akin to what Amazon Web Services has done for cloud services or Shopify has done for small businesses. This can enable any brand to do everything they need across the resale ecosystem. We remain more ambitious than ever as we begin the next chapter of RaaS. With that, I'll turn it over to Sean to talk through the financials in more detail.
Sean Sobers: Thanks, James. I'll begin with an overview of our results and follow up with guidance for the second quarter and full year of 2025. All reported results are from continuing operations unless otherwise noted. I will discuss non-GAAP results throughout my remarks. Our GAAP financials and a reconciliation between our GAAP and non-GAAP measures are found in our earnings release, supplemental financials and our 10-Q filing. We are extremely proud of our Q1 results. For the first quarter of 2025, revenue totaled $71.3 million, an increase of 10.5% year-over-year. Our outperformance was driven by the significant investment into marketing and inbound processing we made in order to drive our marketplace flywheel. These investments resulted in our strongest quarter for new buyer acquisition in the company's history with new buyers up 95% year-over-year. This performance inflected our total active buyers to grow for the first time in over a year. We finished the quarter with 1.4 million active buyers for the trailing 12 months, up 5.7% over last year, while orders were up 16.1% over last year to $1.4 million. For the first quarter of 2025, gross margin was 79.1%, a 100 basis point decrease versus the same quarter last year as a result of the strength of our new buyer growth as new buyers require higher incentives to convert on their first purchase. We called out this dynamic on our last earnings call and continue to expect acquisitions to impact gross margins throughout the year as we plan for robust new customer growth. Adjusted EBITDA was $3.8 million or 5.3% of revenue for the first quarter of 2025. We doubled our adjusted EBITDA dollars versus last year, representing a 240 basis point margin improvement as we leveraged our multiyear investments and benefited from our revenue outperformance. As our momentum accelerated through March, we were unable to spend marketing and processing fast enough, driving our EBITDA beat. The strength of the beat illustrates how our marketplace model generates powerful margin flow-through on incremental revenue. Turning to the balance sheet. We began the first quarter with $52.8 million in cash and securities and ended the quarter with $55.4 million, generating $2.6 million in cash. Free cash flow for the quarter was $3.9 million, a record level of quarterly free cash flow, driven by $5.7 million in cash flow from operations. We spent $1.8 million on CapEx in Q1 and continue to expect maintenance CapEx levels of approximately $8 million in 2025. Now I'd like to provide a bit of context for our updated guidance. We delivered a significant revenue beat in the first quarter, and we are flowing that through the full year revenue outlook. Though we remain cautious given the current volatile and uncertain consumer environment, we are pleased to be raising our top line expectations for the balance of the year to align with the positive trends we are currently seeing in the business. We also delivered a strong beat on Q1 adjusted EBITDA, which we are flowing through to our raised full year guide. However, we are maintaining our profitability expectations for the remainder of the year as we continue to focus on driving growth. As we discussed on our last call and demonstrated in Q1, our priority this year is to accelerate our top line. To do this, we will continue to lean into the key drivers of our marketplace flywheel, growing active buyers through marketing and fresh listings through inbound processing. With contribution margins in the low 40% range and the current ad market becoming less competitive, we see even more opportunity to continue to invest ad dollars that uphold our long-held 12-month payback period. As we spend more on marketing and drive new buyers to the site, we are simultaneously investing in inbound processing to bring in a broad selection of fresh, high-value items to delight and convert our buyers. With all this in mind, in the second quarter, we expect revenue in the range of $72.5 million to $74.5 million, representing 10% growth at the midpoint. Gross margin in the range of 77% to 79%, adjusted EBITDA of approximately 3.3% of revenue, in line with current expectations and basic weighted average shares outstanding of approximately 119 million shares. For the full year of 2025, we now expect revenue in the range of $281 million to $291 million, reflecting 10% growth at the midpoint. This updated view is $11 million above our previous guidance, incorporating our Q1 beat and a raised outlook for the remainder of the year. Gross margin in the range of 77% to 79%, adjusted EBITDA of approximately 4% of revenue. This reflects our Q1 beat while we are holding our assumptions for the remainder of the year to be broadly similar to our previous outlook, and basic weighted average shares outstanding of approximately 122 million shares. In closing, we are extremely proud of our Q1 performance. The momentum we're seeing in the business provides us with increased confidence in our ability to deliver accelerated revenue growth and reach positive annual free cash flow this year. This progress is being fueled by our near-term investments in marketing and processing and our multiyear investments in our infrastructure, technology and software, all of which will move us closer to our long-term targets. James and I are now ready for your questions. Operator, please open the line.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Ike Boruchow of Wells Fargo. Your line is already open.
Ike Boruchow: Hi. Good afternoon. Congrats, guys, and great performance in a tough tape. So I think I have two questions. Maybe, James, just bigger picture for you to start. I guess just to ask what's really driving - in your opinion, what do you think is driving the buyer and revenue outperformance in a way that maybe you think is sustainable for the rest of the year? And I just really want to understand what gives you the confidence. I mean raising revenue is not something we're seeing anywhere in the space right now. So just kind of what gives you the confidence to underpin that in this highly uncertain environment?
James Reinhart: Yeah. Hey, Ike. Yeah, I mean, I think if you go back to our Q4 earnings, we were really seeing a new trajectory in the business in Q4. And I think on that call, we were a little cautious around, hey, is this momentum going to continue into Q1. And we've just continued to see that momentum in the business, specifically around new buyer acquisition and then the progress we're making on the supply side, continuing to process in operations. And that's really the two ingredients. And so there's nothing that we look at across the KPIs in the business that suggests that the business isn't continuing to execute at a very high level. And so I think that gives us a lot of confidence across our cohorts, across our operations, across the unit economics, everything is really fundamentally sound. And I think we're feeling pretty good about the rest of the year.
Ike Boruchow: Got it. And then a quick follow-up for Sean. I think you had given us some puts and takes on the remainder of the year and the flow of the year. I guess I just want to double check that do certain things still apply? Most specifically, are you still expecting Q3 to accelerate from 2Q in revenue? And are you still expecting 3Q to be the high point of the year on EBITDA margin and then conversely expecting Q4 to kind of fall back down a bit? Thanks.
Sean Sobers: So I would say, yes, on the first one, accelerate revenue from Q2 to Q3. I think with the outperformance in EBITDA in Q1, I would expect Q3 to be more in the 4.5-ish kind of range as far as EBITDA, so slightly down from Q1 and then come back down and dip down to match our full year guide of around 4% EBITDA.
Ike Boruchow: Got it. Cool. Thanks, guys.
Sean Sobers: Thanks.
Operator: Your next question comes from Dana Telsey of Telsey Group. Your line is already open.
Dana Telsey: Hi. Congratulations on that new customer acquisition. Any demographics surrounding who you're getting in terms of new customers, what - where they're from? Any more color around it? And then in terms of the marketing spend, how do you plan to keep this momentum going? And James, do you feel given the fact that what's happening with the potential for tariffs, the opportunity for marketing and capturing with the resale opportunity and what you're seeing is how you see the rest of the year progressing and what it could mean for 2026? Thank you.
James Reinhart: Sure. Hey, Dana. Yeah, on the customer side, I think it's what's been really exciting is to see how efficiently we've been able to drive customers into the funnel. CACs have been as good as they've been in some time. And that's really being driven from just a better product experience. And so we're able to drive sessions efficiently, get people to the site. And then it's really the product, the conversion rate that's really driving a lot of the momentum. And so from a demographics perspective, these are a lot of this very similar to customers we've had previously, I would say, consistent with over the past few years, we've definitely moved incrementally upmarket, Dana, where these are slightly more middle to upper income customers, which was a shift we made coming out of the pandemic. So that continues to be true. As for marketing spend momentum, I think Q1 was very strong. We talked about April being the best acquisition month in our history. And so we will continue to spend if the paybacks are attractive. And right now, they are attractive. I think Shein and Temu pulling out some of their spend in the U.S. has certainly been a tailwind in the back half of April. And we'll see as tariffs kind of flow through the rest of retail. But if the consumer holds up, I could see it being a tailwind for us on the acquisition side. But we'll sort of have to see how those dynamics unfold. But I think we're feeling good about the growth and efficiency momentum in the business.
Dana Telsey: Got it. And then category-wise, what performed? What did you see that was most in demand? And is anything changing on the pricing side? Thank you.
James Reinhart: Yeah, nothing changing specifically on the pricing side, although the mix of goods, I think as we mentioned, with our consignment premium business, the mix of goods is a little bit higher price, but no structural change really on the pricing side. And then dresses continue to be our number one category, a large share of the business. And I think as we got through end of Q1 and into April, I think we had an incredible assortment, the right mix of goods at the right price, combined with all of the search and AI infrastructure, and I think that's a recipe for success. So I think throughout the activities that the business is executing, I think that's what's making it work.
Dana Telsey: Thank you.
Operator: Your next question comes from Dylan Carden of William Blair. Your line is already open.
Dylan Carden: Thank you. James, you've spoken before about kind of the philosophy around marketing spend. I guess to check in, is the idea here, particularly given what you're seeing in this quarter and the outlook to kind of keep it at this high teens level and drive leverage, I guess, across the other parts of SG&A. And to that point, can you just walk through some of the leverage that you are seeing now beyond marketing?
James Reinhart: Yeah, Dylan, I mean that is the approach. I mean I think we - as we said in the prepared remarks, we really want to take the incremental flow-through and invest that back into top line growth given the efficiency we're seeing tax, packs [ph] are good, paybacks are strong. And so we can put more and more dollars to work. And I think that high teens, 20% of revenue mix is probably where we're headed. And as our contribution margins have improved over the past few quarters, you're just seeing that the more revenue we generate, the better the business can get at the bottom line. And so we're trying to get that flywheel spinning even faster and then continue to leverage SG&A and everything else below the line. And I think that was the recipe in Q1, and we'll do more of that as we move throughout 2025.
Dylan Carden: And on the AI initiatives, is there anything underway? Or could you get sharper on pricing and selection through some of these manoeuvres?
James Reinhart: Yeah. I mean I think it's something we have an incredibly talented marketplace optimization team that's looking at pricing and treatment groups every day. So on any given day, we're running half a dozen different large-scale pricing experiments. And so we're really always trying to optimize margins to ThredUp while also delivering incredible value to the buyer and then value to the seller. So I would say, Dylan, there's a constant optimization there to make the parts of our marketplace work. And I think similar to Q4, we're having success processing the volume of goods that we need, acquiring buyers, delighting those buyers and getting that flywheel turning. And I think that's the plan in Q2.
Dylan Carden: Awesome. And then just quickly, just I get why your model is sort of competitively positioned here. But remind me, kind of coming out of COVID, the inflation overhang on your consumer was kind of an issue, right? There was the kind of back to work - or sorry, the work hit initially in COVID and then kind of even coming out of it, that inflation overhang. If this is an environment where you are seeing inflation spike, how do you kind of work through the puts and takes of that as it relates to your end customer? I guess maybe it's higher income or that inflation would be disparate or not evenly spread across? Any thoughts there would be helpful. Thanks.
James Reinhart: Yeah, Dylan, I think it's a great pattern match back to what happened in '22 with inflation. I think what's fundamentally different now is back then, remember, we had very large backlogs. We couldn't process the volume of goods that we needed to maintain the growth rate. And I also think our margins and contribution didn't flow through at the same rate. And so we were really struggling to put the kind of the growth ingredients together, whereas I think now we're in a position where incredible supply coming online, processing power. We don't obviously have any of the health risk concerns of having people in our distribution centers. And so in a world where you're able to process lots of goods online and the customer is looking for value, I think ThredUp has that value in space. And so I think we can really delight the customer. And then on top of that, if you add that in other areas, big retailers pulling back on marketing spend, you can combine great inventory selection, great value with very efficient customer acquisition dynamics. And so I think even in a time when consumers are feeling a little bit more pinched, I think relative to everyone else, I think we'll be very well positioned.
Dylan Carden: Excellent. Thank you very much.
Operator: Your next question comes from Bernie McTernan of Needham & Company. Your line is already open.
Bernie McTernan: Great. Thanks for taking the question. Just wanted to start on revenue and the guidance. James, in the prepared remarks mentioned really no impact on the consumer from the macro environment, but certainly hinted at how the current tariff environment could be supportive for the company and demand trends. So I just wanted to double-click in terms of what the macro expectations are that are embedded in the guidance for 2Q and the year.
James Reinhart: Yeah. I mean I'll talk tariffs, and then I'll let Sean talk about the guide in particular, Bernie. Yeah, I mean, I think the announcement came in early April, right? Many of these things were not set to take effect until just a few days ago. I think there's still a lot of volatility around what's going to be passed through to the customer, which is - versus what's going to be eaten by other companies in our - in the apparel space. So the short answer is I'm not entirely sure how it will all play out. But one thing I can be sure of is that doesn't - is not specifically directly exposed to tariffs, right? So our value proposition, which I think is already resonating with customers, at worst, it's the same as it's been, right? At best, our value proposition relative to others improves. And so I think that's sort of our take for Q2 and for the rest of the year. And then I think the other piece that gets bundled in there, Bernie, is the de minimis exemption, which I think functions a little bit differently than tariffs, but we think it's something we've been advocating for some time and I think makes us more competitive on the playing field at a level. But I'll turn it over to Sean to talk about what's embedded in the guide.
Sean Sobers: Yeah. Bernie, on the guide, we have no tailwinds related to tariffs. And then we also have no assumption there's a recession or anything like that too. It's kind of based on everything that we're seeing in the business all the way through yesterday.
Bernie McTernan: Understood. And then just as a follow-up, the press release mentioned that you launched the Shop Social in April. So it's beta right now. Just when should that go more live? And how - what's the early for how consumers are engaging with that and expectations for the kind of demand and engagement it can drive?
James Reinhart: Yeah, Bernie, I mean I'm personally super excited by it. I think there's always been a big gap between where customers get their inspiration on social platforms versus how it really feels to shop. And I think this is one of the first products out there that I've seen that really natively pulls them together. And so it's in beta only as we work through some of the user journeys, making sure that everything is buttoned up in the display. And so I expect it to be out widely to everyone shortly and then really to do more of a marketing push to tell customers that we have it, right? We've been a little bit subdued in our product marketing around it. But at least the customers that we're talking to and the customers we've been sort of on this journey as we've built it, I think, are very complementary of the experience. And so I think it's going to be great for ThredUp and great for our customers and should drive strong conversion and order value. So yeah, I'm quite bullish on it conceptually.
Bernie McTernan: Okay. Thank you, both.
Operator: Your next question comes from Kunal Madhukar of Water Tower Research. Your line is already open.
Kunal Madhukar: Hi. Thank you for taking the questions. Hearing great things about the buyer stat. I wanted to explore the seller side of the business and any trends that you're seeing on the selling side, especially post the tariffs, given consumer confidence has been eroding. So if you could talk about the seller trends? And then I have a follow up...
James Reinhart: Yeah, on the seller side, yeah, I mean we continue to see good momentum across the selling part of our business. I mean we couldn't drive buyer growth, right, without having access to high quality and growing amounts of supply. And so I think at the core, the engine is working very well. And then I think where we're spending time is optimizing the various experiences across the seller experience such that it's a great opportunity for sellers in this environment. So you're seeing growth in our consignment premium offering, which is coming in with much better contribution margins. We talked about being able to sell in your returns. And that was a product that was launched just recently and has gotten really fast adoption almost 9% now of orders, I think, are coming back with some items selling. So I think we're continuing to push new and novel ways for sellers to engage because to meet our buyer growth targets, we really need to make sure that sellers are on the platform. And so significant investments there.
Kunal Madhukar: Great. And then a quick follow-up on the average revenue per order. We declined about 5%. Now some of that would definitely be because of discounts that you offer for first-time customers. Is there any pricing pressure? Or are the prices in general kind of going up?
James Reinhart: Yeah. There's no pricing pressure there. That's just the mix of new buyers versus existing buyers. So new buyers tend to have slightly lower net revenue per order because of the promotion that they get as new customers. So when you have an explosive growth in new buyers like we experienced in Q1, that's what drags down the average.
Kunal Madhukar: Great. Thank you so much.
Operator: There are no further questions at this time. I would hand over the call to James Reinhart for closing remarks. Please go ahead.
James Reinhart: Well, thank you all for joining our call today. Thank you for the good questions. Incredibly exciting time for ThredUp right now, and I look forward to sharing some more progress with you in the future. And I want to end by thanking the ThredUp team who've been working tremendously hard and for living our values every day, especially the ones we have on the secret menu and for your ambition and commitment to inventing the future of retail. So thanks, everyone. We'll see you next time.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.